Operator: Welcome to the Cardiff Oncology Second Quarter 2024 Financial Results and Business Update Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to turn the conference call over to Kiki Patel of Gilmartin Group. Please go ahead.
Kiki Patel: Thank you, operator. Joining us on the call today from Cardiff Oncology, our Chief Executive Officer, Mark Erlander, and Chief Financial Officer, Jamie Levine. During this conference call, management will make forward-looking statements, including, without limitation, statements related to guidance, results and the timing of data readouts for onvansertib clinical trials. These forward-looking statements are based on the company's current expectations and inherently involve significant risks and uncertainties. Our actual results and the timing of events could differ materially from those anticipated in such forward-looking statements as a result of these risks and uncertainties. Factors that could cause results to be different from these statements include factors the company described in the section titled Risk Factors in its annual report on Form 10-K filed with the SEC for year ended December 31, 2023. Cardiff Oncology undertakes no duty or obligation to update any forward-looking statements as a result of new information, future events or changes in its expectations. With that, I turn the call over to Chief Executive Officer, Mark Erlander. Mark?
Mark Erlander: Thank you, Kiki, and good afternoon, everyone, and thank you for joining our business update conference call for the second quarter of 2024. These are certainly energizing times at Cardiff Oncology as we activate sites, enroll patients in our CRDF-004 trial in RAS-mutated metastatic colorectal cancer or mCRC. The interactions we're having with the physicians and other professionals at the trial site reinforce [indiscernible] has the potential to bring a more effective therapy to this large patient population of nearly 50,000 new patients a year in the U.S. alone. Specifically, the totality of the data from our Phase Ib/II and ONSEMBLE second-line mCRC trials demonstrates onvansertib has the potential to shift the treatment paradigm for all RAS-mutated mCRC, not just subgroups to pair us. We say this because, first, there have been no new therapies approved for these patients over the past 20 years. Second, there are no competing clinical trials for this patient population. And third, unlike prior PLK1 inhibitors, onvansertib is well tolerated when combined with chemotherapy, which also opens the door to other chemo combinations for additional cancer indications. So let's dive in. On today's call, we will cover 4 topics. First, I will discuss our lead program in nCRC and provide updates around our ongoing CRDF-004 trial. Second, I will provide an update on our pancreatic cancer program. Third, I will provide a brief overview of our continued encouraging preclinical data demonstrating onvansertib's activity in other cancer indications with unmet clinical need beyond RAS-mutated mCRC. And finally, we will talk about our financial position that we disclosed today in our Form 10-Q. So let's begin. This quarter, we have been intensely focused on the clinical execution of our CRDF-004 trial, evaluating the contribution of onvansertib in first-line RAS-mutated mCRC. As a reminder, CRDF-004 is our ongoing Phase II trial evaluating onvansertib in combination with current standard of care, which consists of either FOLFIRI plus bev or FOLFOX plus bev. The trial is currently active in 33 sites, and we plan to enroll 90 patients who will be randomized to receive either a 20-milligram or a 30-milligram dose of onvansertib plus standard of care for standard of care alone. Our team at Cardiff Oncology alongside our clinical execution partner, Pfizer Ignite is diligently working on the enrollment of the trial. We continue to leverage Pfizer's resources and capabilities in multiple areas to drive enrollment. We also appreciate the commitment and the clinical efforts of our enthusiastic investigators who have been judiciously screening patients across our active sites. Based on the current pace of enrollment over the past few months, we continue to plan on releasing an initial data readout later this year as we previously guided. We expect this will include objective response rate data for approximately half of the patients we plan to enroll in the trial. Now I'd like to turn to our second agenda item, an update on our pancreatic cancer program focused on metastatic pancreatic ductal adenocarcinoma or PDAC. In September of last year, we released data from our Phase II trial for metastatic PDAC in the second-line setting. In this single-arm trial, patients received onvansertib in combination with the chemotherapy regimen of liposomal, irinotecan, leucovorin and 5-FU. After discussing the results with our investigators, we decided the next step of our PDAC program would be an investigator-initiated trial in the first-line study combining onvansertib with standard of care Gem-Abraxane, Today, we are sharing an update to our plans in metastatic PDAC because earlier this year, NALIRIFOX was approved for first-line metastatic PDAC after the NAPOLI III trial showed significantly greater improvement in overall survival and progression-free survival with first-line NALIRIFOX compared to Gem-Abraxane. As a result of this change to the first-line standard of care, we have decided to support a first-line investigator-initiated PDAC trial that combines onvansertib with NALIRIFOX. And recall that 3 of the 4 drugs that comprise the NALIRIFOX first-line regimen for the same drug combined with onvansertib in our prior second-line PDAC trial. This new trial will replace the first-line PDAC investigator initiated trial combining onvansertib with Gem-Abraxane, which was still in an early stage and have not started to enroll patients. We will provide further updates on the onvansertib NALIRIFOX investigator-initiated trial in the coming months. Now I'd like to transition to the third item on our agenda, which is our continued success in identifying other cancer indications where onvansertib may be clinically efficacious. Previously, in preclinical studies, onvansertib has been shown to have activity in RAS wild-type mCRC ER-positive breast cancer, triple-negative breast cancer and platinum-resistant ovarian cancer. Last month, we published preclinical data on a new indication within ovarian cancer in the peer-reviewed journal Cell Death and Disease, which is a portfolio member of the Journal, Nature. Specifically, the data evaluated onvansertib in ovarian cancers that are resistant to PARP inhibitors. In the published study, the combination of onvansertib and olaparib, a PARP inhibitor approved in ovarian cancer was tested both in vitro and in vivo and BRCA1-mutated and wild-type ovarian cancer models. In vitro, the combination of onvansertib and olaparib was synergistic in ovarian cancer cell lines and demonstrate inhibition of tumor growth. In vivo, the combination was well tolerated, low tumor progression and prolonged survival in patient-derived xenograft models resistant to olaparib. Resistance to olaparib has been observed in clinical studies and has been a challenge to overcome. Moreover, these findings underscore the ability of onvansertib to overcome resistance to PARP inhibitors in high-grade serious ovarian carcinoma, which could make a significant impact in the treatment landscape for ovarian cancer. Overall, we are still determining our path forward in ovarian cancer. However, we are highly encouraged by the totality of the data generated from our recent publication and AACR poster that demonstrates onvansertib's ability to effectively resensitize ovarian cancer to treatment. Now I would like to turn the call over to Jamie to discuss our final agenda item, our second quarter 2024 financial update.
Jamie Levine: Thank you, Mark. Earlier today, we issued a press release and filed a Form 10-Q with the SEC, which contain our financial results for the second quarter ending June 30, 2024. Turning to our balance sheet. Cash and short-term investments as of June 30, 2024, totaled $60.3 million, and our cash used in operating activities was $9.2 million in Q2 2024. Today, we're also updating our cash runway guidance based on our most up-to-date cash forecast. As a result, we believe that our current cash resources provide us with runway through the end of the third quarter of 2025, whereas previously, we had expected runway into the third quarter of 2025. With that, I'll turn the call back over to Mark.
Mark Erlander: Thank you, Jamie. I would now like to close the call by emphasizing our confidence in our clinical development strategy for our lead program in RAS-mutated mCRC and enthusiasm for our upcoming data readout of CRDF-004 later this year. Collectively, the data we have released throughout the past year from our Phase Ib/II study ONSEMBLE trial and as AACR gives us conviction that adding onvansertib to standard of care has the potential to change the treatment paradigm for the entire first-line RAS-mutated mCRC patient population. And we believe that such an outcome would create enormous step for our stakeholders and positively impact the large population of patients living with RAS-mutated mCRC. With that, I will now open the call up for questions. Operator?
Operator: [Operator Instructions] And your first question comes from the line of Marc Frahm of TD Cowen.
Marc Frahm: Maybe first off, last quarter, you noted that kind of enrollment trends in the 004 trial had maybe been a bit slower than you'd anticipated when you opened the trial. Just curious, has that kind of held steady, has the enrollment held steady over the summer? Or have you seen some acceleration in that enrollment trend?
Mark Erlander: Thanks, Marc. Enrollment is tracking quite well and is tracking with our guidance of having an initial look at the data later this year. And part of the reason why it's doing well is because we have Pfizer Ignite as a strong partner, and we've been able to leverage a lot of their capabilities and being able to drive the enrollment. I think the other things that really do help that I mentioned earlier on the call is that there are no new drugs for 20 years for these RAS-mutated patients in first-line mCRC. And also importantly, there are no competing trials. So to answer your question, yes, we're on track with the guidance of initial look later this year.
Marc Frahm: Okay. That's very helpful. And then maybe on the pancreatic trial that you are going to start up. I think [NALIRIFOX] obviously been approved. But at least in our conversations with physicians, it's not 100% clear that it's going to get broadly adopted as a true kind broad standard of care. So I guess why be kind of aggressive on adopting that now kind of for this initial proof of concept for in pancreatic versus maybe using some of the older regimens that are also potentially a bit better tolerated than that regimen?
Mark Erlander: Yes. Really 2 answers to that question. I mean the first is that the NALIRIFOX really 3 of the 4 chemo agents. We've already combined with onvansertib in second line and have good data from that. And so we believe that with -- along with our preclinical work in this area. So that's really the first part of the answer to the question. The second is really that we are showing really good tolerability of onvansertib in combination with these chemo agents. And really, the only chemo that we haven't combined it with is the oxaliplatin, which is part of the NALIRIFOX. But really oxaliplatin really does not have any overlapping toxicities with onvansertib. So we do feel confident that we can come in with this more aggressive chemo and combining and adding value to that because we believe that this is really the type of regimen that is showing the superiority in efficacy in first line.
Operator: Your next question comes from the line of Andy Hsieh of William Blair.
Andy Hsieh: Maybe kind of extend from Marc's question earlier in the call. Just curious about whether you could comment on the level of [indiscernible] kind of scientific validation with the change of the IST in pancreatic cancer. Obviously, I think it's well validated that onvansertib synergy with irinotecan, which is now included in the regimen versus the Gem-Abraxane regimen before. I'm curious about your view on that. And then in terms of the potential ovarian cancer entry, there's obviously new therapy for ovarian cancer in the form of ADCs. So you looked at chemotherapy, you look at targeted therapy combinations, PARP. So just curious about whether you've done or plan to do any sort of commentatorial work in the ADC field as well.
Mark Erlander: Thanks, Andy, for both of those questions. I'd say, to answer your first question, really, the irinotecan synergy is one of the main reasons we are going with the combination with NALIRIFOX in first line. Also, our -- the TI that is -- that we're working with for this new investigator-initiated trial has already has experience in our second-line pancreatic trial and really was the huge proponent enthusiastic in going into first line. So that was really -- he knows our drug, he knows it's well tolerated, and he's very excited about going into first line. To answer your other question about ovarian cancer and ADC combination, we are currently preclinically looking at ADCs in combination with onvansertib, not only ovarian not specific to only ovarian, but we are really exploring that in several other areas that -- where ADCs have been approved.
Operator: [Operator Instructions] There are no more questions. I will now turn the conference back over to Mark Erlander for closing remarks.
Mark Erlander: Thank you, operator, and this concludes our conference call. Thank you again, everybody, for joining us this afternoon. Good day.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.